Operator: Good morning. Welcome to the AngioDynamics Fiscal Year 2025 Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone requires operator assistance, please press star zero on your telephone keypad. As a reminder, this conference is being recorded. The news release detailing AngioDynamics' Fiscal 2025 Second Quarter results crossed the wire earlier this morning and is available on the company's website. This conference call is also being broadcast live over the Internet at the Investors section of the company's website at www.angiodynamics.com. A webcast replay of the call will be available at the same site approximately one hour after the end of today's call. Before we begin, I would like to caution listeners that during the course of this conference call, the company will make projections or forward-looking statements regarding future events, including statements about expected revenue, adjusted earnings, and gross margins for Fiscal Year 2025, as well as trends that may continue. Management encourages you to review the company's past and future filings with the SEC, including, without limitation, the company's Forms 10-Q and 10-K, which identify specific factors that may cause the actual results or events to differ materially from those described in the forward-looking statements. The company will also include certain non-GAAP and pro forma financial measures during this call. Management uses these measures to establish operational goals and review operational performance and believes that these measures may assist investors in analyzing the underlying trends in the company's business over time. Investors should consider these non-GAAP and pro forma measures in addition to, not as a substitute for, or superior to, financial reporting measures prepared in accordance with GAAP. A slide package offering insight into the company's financial results is also available on the Investors section of the company's website under the Events and Presentations. This presentation should be read in conjunction with the press release discussing the company's operating results and financial performance during this morning's conference call. I would now like to turn the call over to Jim Clemmer, AngioDynamics' President and Chief Executive Officer.
Jim Clemmer: Thank you, Operator. Good morning, everyone, and thank you for joining us for AngioDynamics' Fiscal 2025 Second Quarter Earnings Call. Joining me on today's call is Steve Trowbridge, AngioDynamics' Executive Vice President and Chief Financial Officer. I will begin today's call by providing an overview of our recent performance. Steve will then provide a detailed analysis of our second-quarter financial performance, and I will conclude with our outlook for the balance of the year before opening the line for questions. Unless otherwise noted, all financial results and growth rates mentioned during today's call are on a pro forma basis, which exclude the results of the dialysis and BioCentury businesses that we divested in June 2023, and the PICC and midline products that we divested in February 2024, and the radiofrequency and Syntrax support catheter products that we discontinued in February 2024. We had a very strong second quarter. Total worldwide revenue was $73 million, representing growth of approximately 9% year-over-year. Our MedTech segment had yet another excellent quarter, growing 25%, led by growth across all of our platforms. Beyond the top line, we continued to show strong results with respect to profitability, reporting adjusted EBITDA of $3.1 million and generating $2.5 million in operating cash flow. Based on our first-half performance and the momentum we expect to deliver in the back half of the year, we now expect to deliver positive adjusted EBITDA for the full year, illustrating continued execution on our goal of delivering sustained profitability. Starting with an update on our MedTech business, Aireon continued on its sustained delivery, growing approximately 22% over the prior year. We have continued to execute on our strategy by taking share with a better product, allowing us to increase penetration and drive a higher mix of revenue from hospital customers. Turning to our mechanical thrombectomy business, we are very encouraged by the performance of both AlphaVac and AngioVac, which in combination grew approximately 46% over the second quarter of last year and further validates the strength of this broad innovative portfolio. AngioVac and AlphaVac together provide AngioDynamics with an unparalleled product portfolio option, and we will continue to leverage the synergies between these two product lines to cement AngioDynamics as a solid bona fide competitor in this large, fast-growing, high-margin market. Beginning with AlphaVac, we saw solid performance in the quarter with revenue increasing by over 33% versus the prior year. This also marks the third consecutive quarter of sequential revenue growth, highlighting its adoption for treating PE following our FDA clearance in early April and our CE marking in late May. As noted on our prior call, supported by our excellent clinical data and a fully trained salesforce, we moved into full market release in both the US and Europe in June. We remain very encouraged by physicians' and hospitals' willingness to evaluate AlphaVac for the treatment of PE, evidenced by the positive utilization trends we are seeing within existing customer accounts, as well as progress we are making within our new customer pipeline as AlphaVac is being reviewed as part of a growing number of hospitals' value analysis committees. As expected, the vast majority of our growth in the quarter was driven within the US, as our focused commercial efforts, in combination with the strength of our Apex data, have been very successful. In late December, data from the APEX trial were published in the Journal of the Society for Cardiovascular Angiography and Interventions, one of the premier peer-reviewed journals in the space. The publication confirmed the outstanding results announced in May of 2024, which highlighted that AlphaVac is safe, effective, and highly efficient in treating patients with acute intermediate-risk PE. Importantly, the paper highlighted AlphaVac's 35.5% reduction in clot burden from the baseline, which compares favorably to the 9.3% reduction reported in the current market leader's IDE data. This publication is yet another point of validation within the clinical community and should act as a catalyst as many physicians and hospital value analysis committees use studies like these to support their decision-making process when evaluating new technologies. Turning to AngioVac, the PE indication for AlphaVac has proven to be a positive catalyst for AngioVac. As the awareness and utilization of AlphaVac has grown, it has created opportunities for our commercial organization to educate physicians on our entire mechanical thrombectomy portfolio. This increased engagement has opened doors to new facilities and physicians, which helped to drive revenue growth of approximately 51%. While we do not expect to see this level of growth during the balance of 2025, we do expect continued broader adoption to drive year-over-year growth moving forward. Lastly, within our MedTech segment is NanoKnife, which has recently seen a number of exciting developments. We continue to be encouraged by trends in the adoption and utilization of NanoKnife, in particular within the urology community, as evidenced by approximately 23% growth in probe revenue in the quarter. As outlined on our last call, we expected to achieve multiple key milestones for NanoKnife by the end of calendar 2024, all of which we did. We identified three key pillars that are necessary to drive long-term adoption and exciting growth for NanoKnife: first, regulatory clearances for specific indications; second, reimbursements and market access; and third, increased market awareness. We have made significant progress on all three fronts since our last update. With respect to regulatory clearance, we received an expanded indication for the NanoKnife system for prostate tissue ablation from the FDA in early December. With this clearance in hand, we can now more proactively market, educate, and train for the procedure in ways that we have been previously unable to do. With respect to reimbursement and market access, in mid-September, we participated in the CPT editorial panel meeting related to a proposal to create a new CPT Category I code specific to IRE and prostate procedures. In October, we were thrilled to have been granted a new CPT I code for the treatment of lesions in the prostate and liver. The new codes will be effective with physician relative value units attached on January 1, 2026. We continue to work diligently with our market access teams on coverage, coding, and payment initiatives to ensure that reimbursement will be widely available across both the commercial and private payers in advance of that effective date. Finally, with respect to our marketing and education strategy to both urologists and patients, we began highlighting the quality of outcomes generated during our PRESERVE clinical study, the pivotal trial we ran in support of our NanoKnife prostate expanded indication. PRESERVE evaluated the safety and effectiveness of NanoKnife for the ablation of prostate tissue in patients with intermediate-risk prostate cancer, which included 121 patients enrolled across 17 clinical sites. PRESERVE met its primary effectiveness endpoint, demonstrating the performance for the ablation of prostate tissue in patients with intermediate-risk prostate cancer. At 12 months post-procedure, 84% of men were free from any clinically significant cancer in the targeted area. Just as importantly, the study demonstrated extremely compelling quality of life outcomes. When men have prostate cancer and are evaluating treatment options, they are forced to choose between effectively treating the cancer or maintaining the quality of life post-treatment, particularly as it relates to sexual and urinary function. While traditional treatments such as radical prostatectomy and radiation therapy often result in significant risks of erectile dysfunction and urinary incontinence following treatment, NanoKnife's targeted approach demonstrates that men need not be forced to make this trade-off and represents a meaningful advancement in prostate cancer treatment. In the PRESERVE study, men treated with NanoKnife did not have any higher rates of sexual dysfunction after 12 months than is seen with active surveillance or men who undergo no intervention. Just as impressively, approximately 99% of men did not suffer increased urinary incontinence 12 months post-procedure. The PRESERVE study validates the robust safety and clinical efficacy we have seen in more than 32 clinical studies involving over 2,600 patients. In addition to the publications that we expect over the coming months, the PRESERVE data will be featured at the AUA Annual Meeting in Las Vegas at the end of April 2025. As we look forward to the future of NanoKnife, we are very excited about what this product can be with the validation of a specific prostate indication and line of sight to a well-established reimbursement pathway. With a solid foundation of existing users in the US and an established commercial infrastructure, we are able to hit the ground running. NanoKnife has the potential to redefine the standard of care for prostate health and deliver treatment outcomes that patients and physicians need. With its unique mechanism of action, in combination with its efficiency and efficacy, it is a fantastic alternative to radical therapies, which force patients to make significant quality of life trade-offs. We believe that these trade-offs have historically limited the widespread adoption of other focal therapies. We are confident that NanoKnife can provide a new paradigm for men. We are very excited to provide a deep dive into NanoKnife and how it can revolutionize the treatment of prostate cancer with our virtual NanoKnife technology event following this earnings call. Turning to our medical device segment, revenue was approximately flat to the prior year, with our US med device business increasing about 2% year-over-year. Beyond our commercial execution, we illustrated another significant step towards sustained profitability. We reported adjusted EBITDA of $3.1 million during the second quarter, compared to a loss of $10,000 during the second quarter of Fiscal 2024. In the quarter, adjusted EPS was a loss of $0.04 per share, improving from a loss of $0.08 per share in Fiscal 2024. Importantly, we generated $2.5 million in operating cash flow. These results highlight that our strategy to drive towards profitability is tracking ahead of plan, and we now expect to deliver positive adjusted EBITDA for the full year. Before turning the call over to Steve, I wanted to provide a quick update on our shift to outsourced manufacturing. We have continued to find ways to optimize the process, and as part of that, we have made a decision to keep a portion of our Queensbury facility open, which allows us to make our supply chain more resilient. The process remains on track with our expectations and will allow us to fundamentally change our manufacturing overhead structure and take out those overhead costs, which will ultimately flow through to our bottom line. As a reminder, we expect this transition to generate approximately $15 million in annualized savings by Fiscal 2027. We are very excited about our performance during the second quarter and the momentum we have been able to generate during the first half of the year. Our achievements over the past six months, in combination with the efforts of our organization over the last three years, have transformed AngioDynamics. Our focus on driving growth within large and fast-growing markets has paid off. Through strategic investments in R&D, clinical research, regulatory submissions, and market access initiatives within our MedTech portfolio, we have now successfully expanded our total addressable market, which now stands at over $10 billion globally, up from just $3 billion in 2021. Not only have we delivered improving growth, but we have also accelerated our pathway to profitability through operational efficiency initiatives. Supported by the strength of our balance sheet, we are in a fantastic position to bring our innovative technologies to more healthcare providers and more patients, while at the same time creating shareholder value. With that, I will turn the call over to Steve Trowbridge, our Executive Vice President and Chief Financial Officer, to review the quarter in more detail.
Steve Trowbridge: Thanks, Jim. Good morning, everybody. Before I begin, I would like to direct everyone to the presentation on our Investor Relations website summarizing the key items from our quarterly results. As Jim mentioned, unless otherwise noted, all metrics and growth rates mentioned during today's call are on a pro forma basis, which exclude the results of the Dialysis and BioCentury businesses that we divested in June 2023, the PICC and Midline products that we divested in February 2024, and the radiofrequency and Syntrax Support catheter products we discontinued in February 2024. Our revenue for the second quarter of FY 2025 increased 9.2% year-over-year to $73 million, driven by growth in both our MedTech and US med device platforms. MedTech revenue was $31.6 million, a 25% year-over-year increase. Med device revenue was $41.5 million, flat compared to the second quarter of FY 2024. But as Jim mentioned, our US med device business was up 1.6% over the prior year. For the second fiscal quarter, our MedTech platforms comprised 43.2% of our total revenue, compared to 37.7% of total revenue a year ago, illustrating sustained execution on our strategy of increasing the percentage of our overall revenue base coming from our MedTech segment. Our Aireon platform contributed $13.7 million in revenue during the second quarter, growing 21.8% compared to last year. Aireon has now delivered double-digit year-over-year growth in each of the fourteen consecutive quarters following the anniversary of its launch. Mechanical thrombectomy revenue, which includes AlphaVac and AngioVac sales, increased 46.2% over the second quarter of FY 2024. AlphaVac revenue for the second quarter was $2.5 million, an increase of 33.3% year-over-year and a 14% sequential increase over the first quarter of 2025, resulting from the continued adoption of AlphaVac for PE. We are pleased to see the strong performance of AngioVac during the quarter, which generated $8.1 million of revenue, an increase of 50.7% year-over-year. As Jim mentioned, the combined strength of AngioVac and AlphaVac illustrates the strength of our comprehensive mechanical thrombectomy portfolio. We are definitely seeing synergies between the two product offerings. We remain very encouraged by the universally positive feedback we are receiving regarding AlphaVac, as well as the increased adoption of AngioVac. The mechanical thrombectomy market continues to be one of the most exciting, fastest-growing MedTech markets. Although the market is currently led by two large-scale competitors, AngioDynamics continues to demonstrate our ability to take share, positioning us as a strong number three. We are excited about our current growth trajectory and our future prospects in this market, led by our innovative portfolio. Total NanoKnife revenue was $6 million, an increase of 4.9% over the prior year quarter. NanoKnife disposable revenue during the quarter increased 23.1%. As we have discussed throughout the year, we expect capital sales during the year to be approximately half of what they were in 2024. In line with those expectations, capital sales declined 39.7% during the quarter. We were very pleased with the trajectory of prostate cases in the quarter and are on track for our projections for NanoKnife for the full year. While we expect to see increasing contribution from NanoKnife following the positive reimbursement decision received in October and the prostate indication received in December, these milestones were built into our expectations for Fiscal Year 2025 and are already reflected in our guidance for the year. Moving down the income statement, our gross margin for the second quarter of FY 2025 was 54.7%, a decrease of 10 basis points compared to the year-ago period but ahead of our expectations for the quarter. For the second fiscal quarter, MedTech gross margin was 63.7%, an increase of 120 basis points, primarily driven by mix associated with increased AngioVac revenue. Med device gross margin was 47.8%, a decrease of 240 basis points, due to the transition to outsourced manufacturing. Turning to R&D, our research and development expense during the second quarter of FY 2025 was $6.4 million, or 8.8% of sales, compared to $8.3 million, or 12.5% of sales, a year ago. The year-over-year decrease is primarily related to timing, including the completion of our PRESERVE and Apex clinical studies. We remain committed to investing in R&D initiatives to support the long-term growth of our MedTech segment. SG&A expense for the second quarter of FY 2025 was $36 million, representing 49.3% of sales, compared to $33.2 million, or 49.7% of sales, a year ago. Adjusted net loss for the second quarter of FY 2025 was $1.7 million, or an adjusted loss per share of $0.04, compared to an adjusted net loss of $3.4 million, or an adjusted loss per share of $0.08, in the second quarter of last year. The year-over-year improvement is largely attributable to higher revenue and improving operating leverage during the second quarter of this year. Adjusted EBITDA in the second quarter of FY 2025 was a gain of $3.1 million, compared to a loss of $10,000 in the second quarter of 2024. Turning to an update on our balance sheet, at November 30, 2024, we had $54.1 million in cash and cash equivalents, inclusive of the cash utilized in our stock repurchase program, compared to $55 million in cash and cash equivalents on August 31, 2024. As a reminder, we currently have zero debt. In the second quarter of Fiscal 2025, we generated $2.5 million in operating cash, had capital expenditures of $0.8 million, and additions to Aireon placement and evaluation units of $1.2 million. For the balance of the year, we expect to utilize approximately $10 million of cash in the third quarter before returning to cash generation in the fourth quarter. As we stated in July, we are targeting to end the year with approximately $60 million of cash on the balance sheet. Cash utilization in the third quarter will be driven by scheduled payments associated with the settlement of our patent litigation with ED Bard, which we executed last year, and working capital usage connected with our transition manufacturing arrangement with Spectrum Vascular, the company we sold our PICC and midline business to in February of last year. We have been managing working capital associated with this transition manufacturing arrangement since the divestiture. We do expect working capital requirements to increase during the back half of our fiscal year as we progress towards full manufacturing transfer during our calendar 2025. To leverage the strength of our balance sheet, we are evaluating the addition of a working capital revolving credit facility. While we are very comfortable with the current amount of cash on the balance sheet, we view the addition of a revolver as a matter of prudent financial housekeeping that further bolsters our balance sheet and provides for increased flexibility and optionality at a relatively low cost of capital and zero dilution. We are extremely proud of our cash position and balance sheet management. We will continue to appropriately manage working capital as we turn to proving that our business model generates cash for the full year in the next couple of quarters. Through the continued execution of our growth strategy and operational efficiency initiatives and our demonstrated progress towards profitability, we remain on track with our stated goal of being cash flow positive for the full year of Fiscal 2026. As announced in July of calendar 2024, the company approved a stock repurchase program authorizing purchases of up to $15 million of our outstanding common shares. Through the end of the fiscal second quarter, we purchased approximately $1.7 million worth of stock at an average share price of $6.82. We will continue to be opportunistic about our decision to make further repurchases based on a number of factors, including market conditions, as well as the need to balance investment in our growth strategy, as we seek to leverage the strength of our balance sheet to create value for our shareholders. Turning now to guidance, for Fiscal Year 2025, we continue to expect revenue will be in the range of $282 million to $288 million, representing growth of between 4.2% and 6.4% over Fiscal Year 2024. Within each of our businesses, we now expect MedTech net sales to grow in the range of 12% to 15%, ahead of our previous guidance of 10% to 12%, and we now expect med device net sales to be about flat from the previous guidance of 1% to 3%. From a quarterly cadence perspective, we expect the balance of the year to follow a typical seasonality pattern, with total revenue in the third quarter being slightly down sequentially from the second quarter, with the fourth quarter being the strongest of the fiscal year. For Fiscal 2025, we continue to expect gross margin to be in the range of 52% to 53%. We now expect adjusted EBITDA in the range of a gain of $1 million to $3 million, up from the previous guidance of a loss of $2.5 million to zero. Finally, we now expect an adjusted loss per share in the range of $0.34 to $0.38, an improvement from our previous guidance of a loss per share of $0.38 to $0.42.
With that, I will turn it back to Jim.
Jim Clemmer: Thanks, Steve. Looking to the balance of the year, we will remain focused on a number of key strategic areas of our business aimed at driving growth. Starting with Aireon, in the US, we will leverage the momentum built during the first half of the year to continue to drive increased penetration, with a particular focus on the hospital setting. Having received a CE mark in late Q1, we have now shifted to a full market release in Europe, which we expect to make a positive impact on revenues during the back half of the year. We will continue to develop supporting clinical data and launch new product line extensions as we move forward. With AlphaVac, we continue to push ahead commercially as we focus on driving increased adoption for the treatment of PE. To support that, we will continue to invest in high-quality clinical data highlighting the differentiation of our products to help support long-term adoption. In addition, we continue to expect to launch new product enhancements over the course of the year to refine and improve usability. Lastly, with NanoKnife, with the prostate indication in hand, as well as the clarity around the reimbursement pathway in the US, we expect to leverage our well-established commercial infrastructure and high-quality clinical data to drive increased long-term adoption in the US for prostate. To that end, I would like to remind everyone that we will be hosting a virtual NanoKnife-specific event at 9:30 AM Eastern Time to provide an in-depth overview of our market opportunity, NanoKnife technology, and our go-to-market strategy. We continue to be very excited about the future of AngioDynamics. With the tremendous work done across our organization to transform our portfolio, to focus on large high-growth markets, and overhaul our financial profile, supported by the strength of our balance sheet, we are on the precipice of being able to deliver sustainable, profitable growth for years to come. With that, Operator, we will now open the line for questions.
Operator: Thank you. We will now be conducting a question and answer session. Press star two if you would like to withdraw your question from the queue. Just consider using speaker equipment. It may be necessary to pick up your handset before pressing the star keys. Thank you. Our first question today comes from the line of John Young with Canaccord Genuity. Please proceed with your questions.
John Young: Hey, Jim and Steve. Thanks for taking questions this morning and congrats on a great quarter. I think I will hold my prostate questions until the event later. So maybe I could just start on the thrombectomy progress that you guys made. It is really encouraging to see it. First, what drove that acceleration in AngioVac? And how sustainable do you think the acceleration could be? And then two, for AlphaVac, really, it is just a matter of effective commercial execution here to be successful. What are the plans of what is working, what is not, and how do you think about that back pipeline that you guys mentioned on the call? And then, maybe just sneaking a third question here too. Just in light of the M&A in this sector that we saw this week, what changes in your commercial plans because of that? And then also, how do you think about monetizing and value creation here in terms of getting the best return for technology in your hands or is this someone else's hands? Thanks.
Jim Clemmer: Hi, John. Thanks for the question. A few things we learned. It is going really well now with our selling and marketing team, and our clinical support teams are fully trained on both AngioVac and AlphaVac. We really found from the customer pointing synergies back to us. So our teams are sometimes, I will give you an example, making a sales presentation on the PE device. Without the fact why we think it is so safe and effective to use. Along the way, we get a lot of agreement. And then the doctors are saying, wait a minute. You guys also have the AngioVac device. I have seen it before. I am not sure of that. Can you walk me through it? So we are getting a lot of synergistic selling opportunities that did not occur before. Either one is opening a door for the other, which is terrific. Mechanical thrombectomy side products, and that is really with the pipeline that we have built up around both products, which are both unique, both very, very different, and solve different needs in the market. So we are going to continue to do that, John. We have learned a lot. And we are adding new selling and marketing resources as we go. And we are getting more people who join our company that come already from the space, that are skilled, knowledgeable, and have relationships. They want to join our team and represent our products. So that has been helpful, John. We think that will keep the momentum going in both AngioVac and AlphaVac.
Steve Trowbridge: Yeah. I think that is exactly right. Just to build a little bit on what Jim said, we are learning that there is a very identifiable benefit to the comprehensive portfolio offer that we have with both AngioVac and AlphaVac. I think it is something that we are finding some that we are pleasantly surprised about, how well they are working together as we go to market now. We talked a little bit last year about some of the changes in the AngioVac, some of the new training with our sales force. As Jim said, I think the training of the full sales force has allowed us to really leverage this comprehensive portfolio. And so when you look at our results, the overall mechanical thrombectomy combined with AngioVac and AlphaVac is something that has us really excited. We are pleased with AlphaVac. We are pleased with the progress that we are seeing. The feedback we are getting is universally positive from physicians who have had their chance to get their hands on the device. We think our device in AlphaVac can do things that no other device on the market can do. As a reminder, we are still in our first generation. So we have got some line extensions that Jim talked about coming out this year. We will continue to innovate on that. But we are going to continue to really leverage the combined portfolio that we have because we are seeing that that gives us a little bit of a different story than some other folks in the market. With your question on the back pipeline, absolutely getting the data published, we think is going to be important. You know that this is a little bit of a crowded space. There have been kind of top-heavy market leaders, and there are a lot of folks who are in trials as we speak. We have already gone through that. We have committed, you know, we have performed on our trial. We completed it. You saw the results. Particularly when it comes to the removal of clot burden, how we believe that AlphaVac is significantly better than the other products that are on the market. We think continuing to leverage that is going to drive some expansion through that process while we go back to what we were saying before and really leverage that combined portfolio. That is not lost on us, the news that you were talking about and some of the M&A activity. Question in terms of what changes in our commercial plans, look, we are always going to assess that. And on what it means for us. I think what we are going to continue to do is leverage the combined portfolio, as Jim mentioned, continue to invest in our sales and marketing teams, invest in the resources that we give those teams. And we think that we are very well positioned to continue to grow, continue to show that we are a strong player in this exciting market. And we are going to continue to take share and drive growth.
John Young: Great. Thanks. And then maybe just a follow-up on Aireon. Just, you know, quarter over quarter seeing a little bit of slowing here. I know you guys are really focused on the hospital health patient opportunity. You know, when it comes to OBLs, do you think that opportunity essentially has reached its ceiling? And then on the OUS opportunity for the second half of this year, can you talk about the reimbursement dynamics in Europe and maybe impacts ASP that we should expect? Again, thanks for taking our questions.
Jim Clemmer: Yeah. Thanks, John. I think the Aireon team's off to a great start. The first six months of this year, quarter-to-quarter dynamics, you know, we do not measure that closely. There are always a couple of little things, but they are off to a great start. There is great momentum there. And it is really built upon the actual product itself, which is a really amazing product. It has been proven already how safe and effective it is. Then our shift, our teams really did a great job. About eighteen months ago, we talked about it publicly. With that shift in our focus going from the OBL initial focus over to the hospital, it has gone really well. I think we are now a little over thirty-five percent of our revenues coming from the hospital customer. Shows that well what we receive now. And, again, when we win share there, we are winning from really companies that are entrenched in those spaces. That have the ability to bundle other products that we do not have. So we are winning those shares based upon the ability of our product to outperform the other products. So we are bullish that we will continue to do so, John, and grow that space. But we are not abandoning the OBL. Those are still good customers. We are getting new opportunities all the time there. But for us, we talked about it publicly. We stand by it. The shift to the hospital customer is really important for us, and we will continue there. Back to your point on the European reimbursement, that is probably very top complicated. I do not know if I have all the knowledge here, John, to give you that country by country. The people who lead our business are very well knowledgeable in the space. They plan for this. They have been fully trained. Our distributed partners are fully trained, ready to go, and they are establishing ourselves in the European market based on opportunity first. As you know, the company our size cannot approach all markets. We have a targeted approach platform ready to go, and we are doing that as we speak. So maybe over time, we can give you more details on that.
Steve Trowbridge: And specifically to your question on reimbursement here in the US and the dynamics in the OBL versus the ASC or urine hospital, as you know, there have been some reimbursement pressures in this business over the last few years. As we said from the beginning, it is something we expected. It is something we expected when we did the due diligence in looking to buy this product. So if we took it from zero revenue when we bought it to a run rate that exceeds over fifty million now, we are pretty pleased with the process. And we have said that we did not think any of those changes would be derailing, and they have not been. And in terms of what you have seen recently over the last quarter, not surprising to us, and fits right within our strategy.
John Young: Thank you.
Operator: Our next questions are from the line of Steve Lichtman with Oppenheimer. Please proceed with your questions.
Steve Lichtman: Thank you. Good morning, guys, and congrats on the continued progress. I wanted to start on mechanical thrombectomy. Great to see the cross-selling opportunities beginning here. As you look at the portfolio across the two products, what is your outlook for growth here in the back half of the year? Obviously, AngioVac came in well ahead of expectations in the second quarter. So trying to get a sense of how you are thinking about the combined as we look out here over the next couple of quarters.
Steve Trowbridge: Yeah. So we have not given specific guidance on what we expect, Steve. We did say that we expect mechanical thrombectomy as a portfolio to be a meaningful contributor to our growth for this year, and we feel we are clearly on track to show that. We are very pleased with the performance that we saw in the first half. We expect to continue to see sequential growth as well as significant growth year-over-year as we proceed through the full year. As we continue to assess and have learnings around the portfolio opportunity that we have, we will refine those expectations a little bit. But your expectation should be you.
Steve Lichtman: Okay. Great. You already spoke to some of the near-term potential drivers for Aireon. Longer term, I know you had been looking at potential indication expansion to ileofemoral DVT and coronary. Can you update us on where you are relative to those?
Jim Clemmer: Yep. So a couple of things going on. We believe this unique product could actually perform really well in the two areas that you just mentioned. We believe it could be a DVT product the way it works. That will take a little more work from us, not just on the R&D work, but the regulatory clearances that are in front of us. So we have not talked about a pathway there yet to open up a program there. We have also talked about, we believe it could be really effective in the coronary space. We understand the pathway process there. It is complicated. We are looking at it internally. Does that make sense for us? It is a really great market opportunity. We think our product will perform really well in that space. Really, we have to decide if that is the right place to put our energy and our resources. Also, the study came out last year that showed that we can crack needle calcification. Some of the IVL product can do, and we are really effective at cracking that calcification from what this study showed. That interests us as well as we know there are a lot of people interested in that space. So what we have got, Steve, is our product that is really performing well, taking share in the VAD market, where we are focused on today. But there are at least these three runways for us to pursue over time. As you know, a company our size only has so many resources. We want to make sure we apply them to the right area for us to give our shareholders the growth opportunity they deserve, and we will give you more detail on that when we have those decisions.
Steve Lichtman: Thanks, Jim. And then just lastly, Steve, on gross margins, your first half coming in north of 54%, obviously, you know, came in ahead of expectations in the second quarter and maintained the full-year guidance. Any conservatism in that full year, or have we been getting back half mix with either the delta that would bring the full year down? How should we think about that?
Steve Trowbridge: Yeah. So the main driver for the performance that we saw is the mix that you mentioned. And so the continued growth in MedTech and the uptick in the MedTech guidance will be a tailwind to gross margin in the back half. The other thing that is happening, though, with the dynamic we talked about is we are working through our manufacturing transfer. As we get products out of Queensbury and get them to Costa Rica, it kind of accelerates us double paying overhead and having some additional unabsorbed overhead in the structure until we are able to take those costs out as part of the manufacturing transfer. So as we mentioned, we are right on track with the manufacturing transfer. We are going to get the benefit of our program for the full year 2027, but it does have a structural impact where it may create some absorption here in the back half. So you are going to see those two dynamics happening. Benefit coming from the mix shift, which is really our overall gross margin long-term strategy for AngioDynamics. If you remember when we first started reporting, in our two segments, MedTech was less than 17% of our overall revenue base. Jim mentioned it is 43% of our revenue base this quarter. So you are seeing that mix shift, and then as we can get through the manufacturing transfer and take up some of those overhead costs, right-size that overall structure, you are not going to see the full benefit of that drop to gross margin as well at the bottom line.
Steve Lichtman: Got it. Thanks, guys.
Operator: Our next questions are from the line of Yi Chen with H.C. Wainwright. Please proceed with your questions.
Yi Chen: Hi. Thank you for taking my questions. Could you comment on the feedback from the limited market release of Aireon in EU countries? And when do you plan to transition to a full launch?
Jim Clemmer: Hi, Yi. Good question. So really good feedback. You know, we have been able to participate. Steve and I have both been able to attend. You know, our European team has done a really good job setting up a series of scientific symposiums on a semiannual basis. So over the last eighteen to twenty-four months, we have really developed a good understanding of the global market. A lot of the thought leaders have attended our symposium. Some have tried our device. They are reporting some of the results of their studies and their findings. So it has kind of generated a lot of organic interest overseas, which has been helpful for our teams and to target where the best spot for us to put our energy is. So our team is really focused. We got through the regulatory clearances that we needed to get the CE mark. Now we have access to that market. We have mentioned that this year, we do not expect a lot this year. It will be a small single-digit contributor to our revenue. You will see that come in in the back half here, Yi, and then we will see more revenue performance into next fiscal year. But our team is well prepared. They are going to do a great job with this amazing product. But, again, a company our size with limited resources, we are very selective as to where we are going to target, how we get there, and we know there is a lot of demand and interest in the product.
Yi Chen: Got it. Thank you. And could you talk about the status of the RECOVER AV trial in the EU of AlphaVac for PE? And do you expect the sales of AlphaVac for the RECOVER AV trial to be limited compared to the US until the readout from the work?
Steve Trowbridge: So starting with the last question, I do not expect the sales in the US to be limited until the readout of RECOVER. I think Apex, as we talked about the publication there and how that helps us with some of the back committees here in the US and just continued commercial execution around our combined portfolio in the US, is what we are focusing on for AlphaVac here. In the European question around RECOVER, it is ongoing. It is part of our continued commitment to providing data generation in this space. We think that data is very important for our own products, to support the physicians who are moving from medical interventions to adopting mechanical interventions for thrombectomy. We are going to continue to invest in that area. You know, again, as we really continue to cement ourselves as a primary player in thrombectomy globally. So we are excited about where we are going with RECOVER.
Yi Chen: Got it. Thank you very much.
Operator: Thank you. At this time, I will turn the floor back to Mr. Clemmer for closing remarks.
Jim Clemmer: Thank you, Operator. Again, I would like to thank everybody for participating today in the call. We will invite you to join us at 9:30 this morning Eastern Time for our special presentation on why we believe our NanoKnife product is a really effective opportunity for people with intermediate-risk prostate cancer to be treated. I also want to thank our employees for their hard work and dedication to our customers and the patients that they serve. And I want to also mention too that we are thinking of our employees and the other folks on the West Coast affected by their terrible wildfires today. We hope they could all be safe in this terrible tragedy. Thank you, Operator. Thanks for joining us today.
Operator: Thank you. We will conclude today's conference. You may disconnect your lines at this time.